Operator: Good morning. My name is Regina, and I will be your conference operator today. At this time, I would like to welcome everyone to the Weatherford International second quarter 2013 earnings conference call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. (Operator Instructions). We ask that you please limit yourself to one question and one follow-up then re-enter the queue for any additional questions that you may have. As a reminder, ladies and gentlemen, today's call is being recorded. Thank you. I would now like to turn the conference over to Mr. Bernard Duroc-Danner, Chairman, President and Chief Executive Officer. Sir, you may begin your conference.
Bernard Duroc-Danner: Thank you. Good morning. We have three sets of prepared comments, John, Dharmesh and myself. So as a little bit long we may give you a little bit extra time for the questions. Let me turn it to John for his prepared comments.
John Briscoe: Thank you, Bernard and good morning everyone. Before my prepared comments, I would like to remind listeners this call contains certain forward-looking statements within the meaning of applicable securities laws and also includes non-GAAP financial measures. A detailed disclaimer related to our forward-looking statements is included in our press release, which has been filed with the SEC, and is available on our website at weatherford.com or upon request. A reconciliation of excluded items and non-GAAP financial measures is included in our press release and also on our website. In the second quarter 2013, we recorded a GAAP net loss of $118 million. Adjusted net income was $116 million or $0.15 per diluted share on a non-GAAP basis compared to adjusted net income for the first quarter 2013 of $117 million as detailed in the non-GAAP reconciliation table in our earnings release. Second quarter net income was unfavorably impacted by the excluded items detailed in our press release totaling $231 million before tax and $234 million after tax. During the second quarter, we recorded an accrual of $153 million with no-tax benefit, related to the FCPA and (inaudible) matters with the U.S. government. This is in addition to the $100 million accrual we recorded for sanction countries in 2012. The $153 million is our best estimate of the amount of the loss we will incur if we reach a final settlement with the U.S. government and it is not a low end of the range of losses estimate. During Q2 2013, discussions progressed where we believe it is probable we will incur a loss related to these matters, although no agreement has been reached and uncertainties remain. Consistent with prior quarters, we continue to isolate as an excluded item net losses of $31 million incurred in Southern Iraq primarily related to early production facility contracts and certain lump sum turnkey drilling projects entered into by prior Hemisphere management. We have included details of the revenue related to the excluded contracts in a footnote to our non-GAAP reconciliation schedule in our press release. Second quarter revenues of $3.9 billion were up 1% sequentially, and 3% higher versus the same quarter of 2012. North American revenue was down 10% sequentially and down 8% versus the second quarter of 2012, and favorable to sequential declines in rig count of 16% and an 11% decline in rig count for the second quarter of 2012. The sequential decline in North American revenue was primarily due to a greater impact of an extended spring break-up Canada, partially offset by increases in artificial lift and well construction revenues. International revenues were up 9% sequentially and up 12% versus the same quarter of 2012. Sequentially, we experienced stronger than expected revenues in Europe, SSA, Russia, and in MENA Asia-Pac, while Latin America trended up slightly. Drilling services, artificial lift and well construction were the primary sequential contributors. Adjusted segment operating income of $286 million was down 10% sequentially and down 13% compared to Q2 2012. Segment operating income margins of 11% were down 80 basis points sequentially, while declining 130 basis points compared to the second quarter 2012. North American operating margins for the quarter were negatively impacted by the Canadian spring breakup, partially offset by improved artificial lift margins in the U.S. on a sequential basis. International operating margins were up 50 basis points sequentially to just over 10%. Sequential margin improvements in Europe, Asia Pacific and Russia were partially offset by declines in Latin America. During Q2 2013, we generated EBITDA defined as non-GAAP operating income plus depreciation and amortization of $627 million, including depreciation and amortization of $341 million compared to EBITDA of $663 million and depreciation and amortization of $346 million in the first quarter. We made great progress in tax during the second quarter and we were able to execute on more initiatives than expected and these resulted in one time benefits and also reduced our structural effective tax rate. The Q2 annual effective tax rate, or ETR, came in at 12% and we estimate our Q3 ETR will be between 31% and 33% and a similar range for Q4 ETR. This adjusts the 2013 full year ETR to between 27% and 29%. Q2’s rate is indicative of the progress we continue to make and also highlights my prior and continuing caution that our tax rate will be variable from quarter to quarter as we continue to move forward and bring our ETR down to a normal level for a non-U.S domiciled company. Our tax processes are stable, continue to mature and we are making good progress on the remediation of the material we’ve missed, but we are unable to complete the remediation before our yearend 2013 tax processes are completed. Subject to the risk and uncertainties regarding forward-looking statements highlighted in our press release and public filings, Q3 non-operating costs, excluding tax professional fees, are projected at about $48 million for corporate, general and administrative costs, R&D at about $72 million, other expenses net at about $18 million, depreciation and amortization at about $371 million and interest at 4129 million. Our guidance on capital expenditures remains unchanged at 8% to 10% of 2013 revenues. Our tax accounting and remediation cost of $5 million after tax in Q2 2013 declined faster than expected, but these costs will increase in Q3 and Q4 to above Q2 levels as we move to our yearend remediation efforts. We expect to file our second quarter 10-Q later today and it includes additional disclosures on our quarter results and outlook. I’ll now turn the call over to Dharmesh.
Dharmesh Mehta: Thank you, John and good morning everyone. Our second quarter 2013 results clearly demonstrate the impact of our capital efficiency program. Free cash flow improved by $200 million compared to the first quarter of 2013. The improvement in cash flow was driven entirely by improvements in working capital. Our accounts receivable in absolute dollar terms have decreased for three consecutive quarters and we saw the first sequential reduction in our inventory balance in over three years to a level below that of September 2012. Inventory decreased by $100 million in the second quarter, resulting in a DSI of 85 days. DSO decreased to 89 days. This reduction was achieved despite the significant seasonal decline in revenue that occurred in Canada during the second quarter, which represents one of our lowest DSO allocations. The decrease in DSO is therefore significant when one considers the structurally higher DSO in international countries. All the second quarter cash flow was positively impacted by customer payments that were deferred from the first quarter. It was also negatively impacted by about $90 million of cash that was expected to be received before quarter end but was received immediately after the end of the quarter. Capital expenditures net of lost-in-hole totaled $409 million in the second quarter, a 26% decrease over the second quarter of 2012. Our internal metrics continue to demonstrate significant improvement in capital discipline in three key areas, amount of new capital approved, allocation of capital and last but not the least, the improved focus on asset utilization. We expect the benefit of the improvement in our capital program will be seen in the second half of 2013 and beyond. Even though the organization showed significant improvement in working capital and demonstrated good discipline on capital expenditures, operations consumed $195 million of cash in the second quarter. The reason for that is structural in nature. Profitability at Weatherford is significantly higher than the second half when compared to the first half. The foundation laid in the first half of 2013 will allow us to reap the benefits in the second half of the year as profitability improves. The difference between free cash flow and the net debt increase is financing commitments related to improvements in our IT infrastructure. In the last quarter I indicated that more than 85% of our transaction dollars are on a single ERP system. We made major commitments this quarter that will results in a significant upgrade of the hardware and software infrastructure of our ERP system. While the cash outlay will be over the next three years, it does add approximately $80 million to our net debt. Our prognosis for free cash flow for the second half of 2013 is driven by three key factors. Firstly, for the past two years in a row, cash collections in the second half are $1 billion more than the cash collections in the first half. We are expecting a similar pattern this year. Secondly, EBITDA in the second half is expected to be over $400 million more than the first half. The increase in EBITDA is driven by improvements in activity and margins. Thirdly, as of today, we are more than half of our inventory under automated control. And that percentage will increase as the year goes on. Our models indicate that inventory levels at the end of the year will be lower than the second quarter by about $200 million. In other words, we are forecasting similar improvements in inventory levels in the third and fourth quarter as those achieved in the second quarter. Combination of cash collection, reduction in inventory dollars and increased profitability indicate that we will generate between $400 million and $600 million in free cash flow this year. The primary factor driving the variability is collections in the second half. During the first half of this year, we have begun material measures to focus on capital efficiency and drive change in this area. For example, we completed capital efficiency workshops in every region of the world that were attended by over 1000 of our most senior employees. The workshops focused on all the major aspects of the business that affects capital discipline and improvements achieved in the second quarter are indicative of the commitment made by the Weatherford organization. Sustainable change typically takes a long time to achieve in a large organization. But I can say with confidence that a culture of cash and of responsible growth exists at Weatherford today and we will continue to deliver further improvements. During the second quarter we recorded $31 million charge net of tax on our legacy contracts in Iraq. Breakdown of the $31 million is as follows. $9 million for integrated drilling projects that were completed in the second quarter, $10 million related to taxes, and $12 million related to the contracts which continue beyond the second quarter. On a moving forward basis, we may have fluctuations in the profitability of our EPF contracts as they progress towards closure. Changes in our profit estimates are recognized when they are identified. But we are generally unable to recognize additional revenue amount from change orders and claims until they are approved. The ability to get customer approval on change orders and claims typically occurs in the later stages of our contracts. As a result we may have positive adjustments as the contracts are completed. We currently have approximately $70 million in potential revenue and cash recoveries on the EPF contracts. Profitability on the contracts will increase dollar for dollar for any recoveries that we get. In the last call we indicated that the other major focus area besides cash is on increasing organizational efficiency and a reduction of our operating costs. During the second quarter of 2013, we completed the initial review of our cost structure and completed a reduction in force of about 3,000 employees. The reductions were across the entire global organization. The reduction eliminated about $90 million of cost on an annualized basis. The second quarter results include a $25 million severance charge primarily related to this initiative. In terms of business performance then, our focus on our core strength and the core of our clients continues to have a significant impact on our business. In the past 45 days, our larger artificial lift clients have indicated increased spending in the second half of 2013 on lift equipment as oil prices have improved. Increased [well count] in the North American shale plays will have a positive impact on our production business in the second half, allowing us to leverage our recently expanded artificial lift manufacturing capacity. We have the leading position in lift in the shale plays and as volume increases, combined with reduced production costs will benefit our business in 2013. We continue to deploy our industry leading, managed pressure drilling capability across the globe. In the second quarter, we won significant long term contracts in the North Sea and deployed new units to Saudi Arabia, Brazil and West Africa. Weatherford has the only subsea capable system which has proven to be a significant benefit to our clients who operate in deep water. The application of our leading edge technology in LWD and its integration with our other formation evaluation capabilities, labs, geoscience services and wireline to offer new and differentiated services to our clients in North America shale plays is gaining significant momentum. This has driven our highest ever drilling services revenues in the second quarter. In short, business performance, cost reduction efforts and our focus on capital efficiency all suggest a positive outlook. I will now hand the call over to Bernard.
Bernard Duroc-Danner: Thank you, Dharmesh. The synthesis of Q1 on Q2 is straightforward. Canada, down by 9.5 cents, Latin America, nearly flat or down by a penny, U.S up by $0.03, eastern hemisphere up by $0.045. The balance of $0.03 was made up by lower taxes or flat quarterly progression. Q2 was shaped by two counteracting forces. Canada had a very sharp breakup in April, May and experienced no recovery in June. Torrential rain throughout the province kept the terrain soaked and severe flooding in Southern Alberta further curtailed any activity recovery. In essence we had 90 days of full breakup. We have historically a very large presence in Canada and it affects us more than our peers. U.S profitability improvements were broad based. Margins rose by 180 basis points, all corporate lines improved save one. Formation evaluation rose the most, driven by expansion in sales. Well construction and completion posted the highest margins. The one exception was stimulation which did not deteriorate but did not improve either. Eastern hemisphere margins improved by 160 basis points. Gains were strongest in Europe, Russia and Asia Pacific. Asia had the highest operating income in its history. SSA and MENA were essentially flat. Eastern hemisphere revenues improved by double digits for the quarter, could have been stronger. A number of product deliveries for well construction and completion were shipped in July in the quarter. Also Russia was softer than expected due to transitional issues with a large client. Latin America did better than numbers reflect, considering the quarter’s events. The region managed to hold operating profit to just a modest decline, in spite of the abrupt shutdown of oil drilling operations in our large Mexico operations in Burgos and Chicontepec. The losses related to the shutdown were kept to a minimum while growth in offshore Southern Mexico, Argentina, Columbia and Ecuador rose to make up almost all of the decline. The region managed to record extremely well and continued progressing in all other markets. Q2's results marked progress in all regions but not as strong as we had anticipated, primarily because of the scale of Canadian seasonal decline. The quarter's metrics though confirmed that operating performance is broadly improving and the level of profitability is turning. We almost completed during Q2 our first drive to lower our cost structure, focusing on payroll. Layoffs will yield about $90 million in annual cost savings which will translate into a penny in Q3 and 2 pennies in Q4 thereon. There will be further drive to lower our cost structure and not just payroll. The capital metrics for the CapEx, DSI or DSO, all improved as expected, which will yield a strong cash harvest in the second half. Forward views, the prognosis of second half is positive. Now we expect Canada to have a good second half recovery. The oil segment will drive the rebound in activity. Edmonton light is trading with a few dollars of Brent. Western Canada Select or WCS, the heavier crude, is enjoying a narrow differential discount on a high base price to oil. To put it in perspective, the realized price of WCS is nearly double of what it was in Q4 of last year. Assuming there is no further major weather events the Canadian market's turn will be healthy. We expect our Canadian operations to show stronger second half this year than second half last year. The U.S. market should be flat to marginally constructive. Now this is the market I am talking about, not us. The second half could see a few percentage points increase in drilling and production activity versus the first half. It strikes us as possible based on client indications. The oil segment would strengthen a little further from here. We do not expect green shoes on the gas side. All in all, we don’t expect anything major in U.S. activity turns but certainly nothing negative. With that as a subdued market backdrop, our own U.S. operations are expected to show higher revenues and markedly higher margins in second half '13, driven by growing activity in our core businesses, particularly production and formation evaluation, the U.S. also benefitted from a lower operating cost structure. We anticipate a rise in U.S. margins, Q2 on Q4 of almost 400 basis points. The rise in margins for Canada will be of course much larger but a sequential comparison is not statistically meaningful, we had no Canadian operating income in Q2. Latin America. Latin America is likely to be flat to marginally up in Q3 but improve markedly in Q4 in both revenues and margins. Mexico will not be the driver in either quarters. Mexico is more likely to be constructive factor in 2014 rather than second half '13. But the turn in '14 should be significant and lasting. We have a very large operation in Mexico and turn in Mexico matters disproportionately. The driver in the second half of '13 for Latin America will be a broad base of other operations, such as Argentina, Brazil, Ecuador etcetera, which should all show progression in revenues and margins. Cost structure gains will also affect our results positively. The European, Caspian, Russian and SSA region are expected to rise in both revenues and margins. Norway, UK, Azerbaijan, have a significant number of incremental contracts, overwhelmingly oil production -- core construction, that begin in the second half of the year. For example, and this is just an example, our incremental contracts in Norway alone add up to about $700 million over three to five years. These are long term contracts with very good margins. Russia will do well in Western and Eastern Siberia with expansion in both operations. The Middle East is expected to show gradual but significant improvements. We are gradually deemphasizing our Iraqi business. The old contracts are finally closing down one after the other. We are likely to take equipment out of the country for redeployment in markets with much higher profitability and returns. The objective is to make Southern Iraq into a smaller operation, the one with good margins and returns. With respect to the existing Iraqi contracts, two of the drilling contracts are completed and de-mobilized. One of the EPF, early production facility, contract will be completed within this quarter, Q3. This will leave us with just one remaining EPF contract to be completed by Q3 of next year. As Dharmesh expressed, the project's final profit and loss will fluctuate between now and their respective completion. Only after full completion clear of all change orders will the final prognosis be done. Regardless of final numbers, we'll not change our direction. We should not invest time, capital and talents on a line of business which isn't our core. We will not engage in EPF contracts after completion of the existing commitments. The rest of the region is turning around. Saudi Arabia, Kuwait, Abu Dhabi and Oman are expected to rise throughout the second half, while construction, formation, valuation and production are the main drivers. That, in combination with a fast diminishing weight of unfavorably rocky economics, the region is expected to turn around its performance in Q3 and even more so in Q4. Finally, Asia is growing from strength to strength with gain broadening from the core in Australia and China to Indonesia, Thailand and Malaysia. Asia is expected to improve further in both revenues and margins in Q3 and Q4. The Eastern Hemisphere will improve in the second half. We are rebuilding our profitability and margins around our core. Our second quarter operating income margins of 9.3% was 160 basis points higher than Q1 which is a welcome improvement. It is a far cry from what we have to deliver. It was less than four years ago that our Eastern Hemisphere margins were at 22%. We are planning for our Eastern Hemisphere margins to rise in the second half of the year with Q4 about 300 basis points higher than Q2 rates. I won't elaborate further on capital plans and free cash flow metrics which Dharmesh detailed. I would urge you to take the metrics and assessment of progress at face value. We're fast getting results while the culture and values of the company are changing. Our first half '13 is materially better than first half '12. As seasonality in our cash flow swings to the harvest time of the year, we also expect much stronger performance in second half '13 than second half '12. We are comfortable with our objective of $400 million to $600 million of free cash flow for the full calendar year 2013. We are working diligently on preparing assets and product lines to divest for divestment in some instances engaged in advanced negotiations. It is always uncertain what we will be able to achieve in the process of divestment. Our best guess is that we'll have completed two transactions in fourth quarter. On non-operating issues, we are making steady progress on our management and tax planning and execution. The company is on overdrive to improve all aspects of its performance. Tax is under exception. With respect to remediation and material weakness for tax accounting in light of good work progress to-date, we fully expect to complete remediation at yearend. We're not in a position to comment much on the decision to crew settlement amounts with the DOJ. It’s obviously a sign we are nearing a point of final settlement, but it isn’t done until it is done. The fact we are nearing settlements, time highlights our drive to end noise at Weatherford. We will end all noise at our company, whether poor legacy contracts, material weakness remediation or U.S. government processes. We'll focus exclusively on profitability, free cash flow and disciplined growth and we will focus on our core. I used the word core a number of times. Weatherford has four core areas. Well construction, formation evaluation, completion and production. That is it. We can carve out a path of high growth, much better margins and high returns around our core. This is what we will focus on with the support of our vast infrastructure and the deep inventory of technology, both base and applied. Separating the non-core from our company is just a question of time and methodical execution. Lastly we are raising our guidance for the second half of 2013 to a range of $0.58 to $0.62 at a tax rate of 31% to 33% for the second half. Full year earnings would be $0.88 to $0.92 at a tax rate for the full year of 27% to 29%. With that I will turn the call back to the operator for Q&A.
Operator: (Operator Instructions) Our first question will come from the line of Jim Wicklund with Credit Suisse.
James Wicklund - Credit Suisse: Bernard, if I can ask a question, what is the magnitude of what is now considered non-core?
Bernard Duroc-Danner: Look, we have approximately -- look in round numbers we have approximately $16 billion of revenues this year looks flatter, plus or minus, okay.
James Wicklund - Credit Suisse: Right.
Bernard Duroc-Danner: We consider about 11 of the 16 to be core, if that helps.
James Wicklund - Credit Suisse: That's great. Just a follow-up if I could, we know that well construction generates good margins because (inaudible) is in the business and you guys are in a duopoly with them. We know that artificial lift generates good margins because we just got to see (inaudible) completely erased. In your product lines, with those kinds of margins, you've got some other stuff that must be generating, with no offence, pretty lousy margins. What are your product lines, not regions, but what are your product lines that are right now your lowest margin product lines?
Bernard Duroc-Danner: Okay. So the $11 billion breaks down into those four categories. The highest margins are definitely well construction, which would be approximately $4.5 billion out of the $11 billion. And completion, they both have margins at the EBITDA line which are north of 30% on a fully absorbed basis. And then of course, the runner up is artificial lift and the formation evaluation, which on a fully absorbed basis have EBITDA which are north of 20%. The company's EBITDA is on a fully absorbed basis, meaning on absorbing all the cost we have clean EBITDA, is something like 19%. So I've got a bunch above 30 and a bunch above 20. And an average of 19, you're absolutely right, the balance must not be terribly good. And so the balance which would be the $5 billion, have basically not much of an EBITDA to speak of. So, first of all, your diagnosis is correct. With respect to what is in the $5 billion, you have a combination of a number of smaller product lines which (inaudible) in itself are interesting, but we're probably the wrong owner. And then you have obviously the rigs and then you have things like EPS, the early production facility business with respect to engineering. And all of these businesses which are legitimate and have strengths of their own, we are probably the wrong owner. And on core on the contrary we are the right owner.
Operator: Your next question comes from the line of Jim Crandell with Cowen and Company.
James Crandell - Cowen Securities: Bernard, is the improvement that you expect in margins over the course of the year, particularly in the Eastern Hemisphere and Latin America, should we consider it linear? And then what percentage of that improvement would you think is due to margins on increased activity and how much is due to so called measures?
Bernard Duroc-Danner: Linear, as in the breakdown between Q3 and Q4. I will really let both John and Dharmesh help when it comes to the modeling questions. Frankly, I look at it on a six months basis far more than look at whether the Q3 will be like this and Q4 will be like that. So I think that will be done in modeling sessions. Clearly Q2 will be up on Q2, that's pretty obvious. So linear, I don't know if the progression will be exactly assigned to both quarters, that's number one. Number two, there is some activity and there is some -- if you go one step further inside the product lines, some of the product lines are just doing really well. So, it is activity within the product lines. For example, some of the completion product lines that we have are doing extremely well. NPD, which was identified by Dharmesh, is doing extremely well. TRS, tool running service, is doing extremely well. Artificial lift, I think everyone knows is during extremely well. So you have some very positive trends within the product lines. Activity overall internationally is healthy and that also helps.
James Crandell - Cowen Securities: Okay, good. Second question has to do with Mexico. Bernard, can you comment on the magnitude of the work on the table in Northern Mexico either for Q4 start or Q1 start up?
Bernard Duroc-Danner: If you're referring really to the two fields in Northern Mexico, it’s Burgos and gas field and a large, heavy oil field Chicontepec. So really Chicontepec is the elephant, far more than -- in the room far more than Burgos. I think you have to think 2014, not Q4. You have to expect a number of tenders to come out in the summer and therefore work being assigned in the course of Q4 for commencement I would presume in the very first days of 2014. Could have a little bit stop in December for example, but I wouldn’t speculate on that. The magnitude will be back to where they were. Understand there is zero activity going on in Chicontepec today except a bit of lab work and some very, very minor production work. So, essentially nothing on the drilling, zero. So expect it to go back to what it was. Now different (inaudible) service companies will have different market shares, but expect it to go back to where it was and may actually go back with an increase level of activity. So it's a very, very major shift. But again think 2014, not Q4.
Operator: Your next question comes from the line of Ole Slorer with Morgan Stanley.
Ole Slorer – Morgan Stanley: Bernard, out of the $400 million to $600 million of free cash flow, any asset sales in that number?
Bernard Duroc-Danner: No. As I mentioned in my comments, we hope to announce two completed transactions in Q4 which will provide some cash. Now, that's assuming that they happen. We're reasonably comfortable that they will. The free cash flow is free cash flow from operations. No, it has nothing to do with sale of assets.
Ole Slorer – Morgan Stanley: And the second question would be along of -- understanding the big ramp or getting some more clarity on the big ramp in the second half of the year, which strictly will be quite impressive if you pull that off. How big of a lever is Canada when it comes to that recovery in profits?
Bernard Duroc-Danner: It is significant. In so far as Canada I would say -- my assessment is that Q4 in Canada for us would be roughly equivalent to what Q1 was. So that's a significant swing. On the other hand understand that Q1 of this year which dropped precipitously in Q2, wasn’t as strong as normal Q1. So I think Canada is a major swing. Canada is not by any means the only swing. Think of the decline we experienced, 9.5 cents from Q1 to Q2. If I'm correct what I've just told you is that we're likely to get all that back in Q4, just extrapolating what I just told you roughly. So you can see how far it helps us and how far we have to go elsewhere. There is good improvements in margins really in the United States and international, not Latin America which will stand its ground. But in Eastern Hemisphere there is good margin and revenue improvements. Consider also where we are coming from, Ole. We have quite a bit to catch up, not in Asia and not in Europe in particular where we remain very strong. But Russia has quite a bit of catch up in Q3, to a degree Q4 if only because Q2 in Russia was not as strong as it normally is, simply because 50% of our business, 50, is with a very large company which went through some transition events which is understandable. Transition events are coming to an end and things are coming back to normal. That's one issue. And then the Middle East and I don't have to remind you the Middle East, North Africa and also SSA have quite a bit of self-healing to do and they're doing it. So those are the moving parts, Ole, if that helps. In addition to which in your homeland of Norway, together with other parts of the North Sea, we have just very good expansion in volume contractually. This is not new. We just signed these contracts a while ago. We just didn't talk about it.
Ole Slorer – Morgan Stanley: So what are the biggest risks there? I presume you highlighted that closing out some of the contracts in the Middle East. There could be some moving parts as that closes out. Is that the bigger risk or is there something else?
Bernard Duroc-Danner: The biggest risk for us is always execution of course. But I would say the biggest risk since we haven't been terribly lucky when it comes to what I’m about to say is Mother Nature. Any important market for us gets devastated or clients just all of a sudden abruptly changes contractual decisions. We had our share of that, but I don't see any major risk. Dharmesh, do you see, you want to add to that?
Dharmesh Mehta: Yeah. One thing I can say is that, the forecast does not make any assumptions about any significant new contract wins. It is all work that we have and it is based on activity levels that we think are realistic. You also have to factor in the improvements you are getting from the cost cuts. I mean it's fairly significant in terms of the second half (inaudible) when you think about the guidance.
John Briscoe: And as Bernard mentioned, we believe we have other opportunities for cost improvement that will impact second half of the year as well.
Bernard Duroc-Danner: That's correct. And they're not payroll related. We don't only focus on payroll, there are other issues. It takes time, takes work, takes focus but we have focused and we have time. So that also is something that has to be controlled. Put another way, Ole, this is not the assessment made, it's neither a high nor a low case. The assessment made is based on contracts that we have. It is always based on execution, so execution can always be a problem. Weather can always be a problem. First time I mentioned that as an issue but I have noticed that we haven't been very lucky in terms of our core market, think Canada. But other that, Ole, there is no assumption other than execution in the passing of time.
Ole Slorer - Morgan Stanley: So there is no element of hope in this forecast, this is a real forecast.
Bernard Duroc-Danner: There is no element of hope. No, no, not at all, no.
Ole Slorer - Morgan Stanley: That's good. There is one question to Dharmesh, there has been a lot of chatter about ESP making inroads in North America artificial lifts. Could you discuss that in context of your position?
Dharmesh Mehta: In terms of making inroads in the shale plays, I mean people always try ESPs for well clean ups in early stages of the shale wells, and they do have a spot there. But in terms of, just the nature of the production declines in shale wells on a sustainable basis in terms of the life of the well, we have not seen any significant improvements in terms of market share by ESPs in that space.
Bernard Duroc-Danner: ESPs are -- have an excellent application on a lot of wells. They perennially suffer from a number of structural flaws. Flaw number one, they're more expensive. Flaw number two, you have [down hole] the motor, the driving unit. So they are fragile by definition. All the other forms of lift, anything fragile is above ground. So you can't get around that. And basically power hogs. So maintenance hogs, power hogs, reliability is always an issue. On the other hand, they will lift more fluid per unit of time. So you've got that arbitrage. They will always have an excellent spot. You won't get a lot of shift. Historically, you've had to shift gradually away from ESPs on a secular basis. It takes a very long time. You'll continue to have that on a very, very, very slow curve, that's it. Everything else is conversational.
Dharmesh Mehta: And only one more comment I would say is, I routinely see -- at least twice a year if not three times a year, a shift of customers moving from the ESPs to rod pumps.
Bernard Duroc-Danner: [OTTP]
Dharmesh Mehta: Or rod pumps in the U.S. Market as rod pumps can deliver expanding volumes. I know here somebody about moving from rod pumps to ESP. That conversation typically doesn't occur as a long-term trend.
Ole Slorer - Morgan Stanley: That's very much of what we are hearing. So thanks for that. Just finally, I am sorry but I can't help, the whole TRS and you highlighted, and related services. It looks to me as if there is about half, less than half well construction number that you threw out there and we have in our data points from other people in that business. Would you say that your EBITDA margins are in the same ballpark?
Bernard Duroc-Danner: Look -- and just be careful, the TRS product line is typically comingled in terms of presentation with our cementation product line. So TRS per se is probably around $1.2 billion, pure TRS give and take. The TRS margins are basically a little north of 40% at the EBITDA line, 40%. Again on a fully, have to be careful that the numbers have to be correct on a fully absorbed basis, meaning not just that product lines, they don't absorb the full amount of overhead, etcetera.
Operator: Your next question comes from the line of James West with Barclays.
James West – Barclays Capital: I know we talked last year about this a couple of times, but I wanted to dig in again on MENA margins. As you think about the repairs, the cost restructuring that's going on there. Of course the Iraq contracts rolling off are going to help. But how do you think about exit rate for MENA as we exit this year? I know last year we were hoping for a lot more than we got. We haven’t had some sequential improvement, but we are still well below historical levels.
Bernard Duroc-Danner: We had two problems. We have three problems in the Middle East. Problem number one is we have a very large play in North Africa. And I don't say anything North Africa, but since you asked the question it has stabilized, but it is not prosperous or turning around yet, North Africa being essential Algeria, with of course Tunisia and Libya as smaller markets. So Libya has not -- nothing is going on in Libya. Very, very little. Very unstable. Tunisia has rebooted, but at half the rate it was at. And Algeria wants to increase activity. It is still terribly slow. So that was issue number one and on that one, other than the fact it has stabilized, it has not turned to the prosperous. This is one. The second issue we had was Iraq. Iraq, too many contracts. It's entirely management’s fault. That would be my fault. But Iraq too many contracts. Also contracts in product line though we are not the right owner, we’re not the right operator. Although we'll finish our assignments and we’ll do a proper job of it, we shouldn’t be doing this. It’s too much and we stopped and we are scaling down Southern Iraq. As we do so, gradually the weight of Iraq comes down and as it comes down the difference in margin is spectacular. I don't think it will surprise anyone on the call to know that in Southern Iraq essentially we've had no EBITDA. So as we scale that down and shrink it, no more capital is going into Iraq. It’s going the other way. Eventually it will be stabilized to an operation of a much more modest size, but a profitable operation with good returns. As that phenomenon occurs, then you have some seriously improved margins obviously. The rest actually Saudi, Kuwait, Abu Dhabi, Oman, just the key ones, Qatar and Yemen are much smaller and Bahrain are much smaller, actually they have very, very good margins. So you have a little bit of the same phenomenon as I highlighted overall, which is what I highlighted on the product line side that you have 11 billion out of 16 which is basically excellent. And then you’ve got 5 which we shouldn't be owning with a very different economics. So the issue is focusing on the 11, not on the 5, which is really the direction. I would say within the Middle East a bit of a microcosm of the same. We can't do anything about North Africa other than what we've done, which is bring the cost down and wait. That's fine. We've done that. And that will turn although the -- and economies have improved, although they’re not so prosperous, but they’ve improved because we stopped the hemorrhage. But given the fact that the markets are identified, Saudi, Kuwait, et cetera around the Persian Gulf are really doing well actually. The extent we bring down Iraq to a point where it doesn't harm us any more, in fact it helps us. The margins on -- the turning margins will be very, very strong. Now that's all the entire context. With respect to numbers, look numbers will be what they will be at the end of day. But by the end of year MENA essentially has no margins right now in Q2. By the end of year we’d expect that MENA will start to be knocking on the door double digits.
Dharmesh B. Mehta: James, one more comment I would add is, three to four years ago, North Africa contributed about 80% of the profitability of the region and MENA Gulf which is other dominant part would be 20%. Today the tables have flipped. MENA Gulf is back -- is now today at the levels where North Africa used to be. And as we work through our cost structure in North Africa and Iraq, you will actually see MENA -- you have a very healthy chance of MENA getting back to its profitability level, but from a different base that is much more sustainable and much more long lasting.
James West – Barclays Capital: Very helpful Dharmesh and Bernard. You mentioned the transition, if I could speak about Russia for a second, the transition in 2Q with I guess Rosneft. Is that transition fully over at this point so that we will see pretty clear signs of healing in 3Q?
Bernard Duroc-Danner: No. I think they're probably better able to answer that question than I can. I'm sure they have a lot of transition that they’re working through, a very large organization. But with respect to activity, both drilling and production related and with respect to us, for all intents and purposes, yes, it is over in Q3. It's not that activity, there was no activity in Q2. It's that, that was less insofar as understandably so. If there was any sort of project that could be adjourned while one side assessed the details of the projects coming from the other side in [T&K], they did, which is absolutely normal. This is no different than when company a buys company b in United States. So, you always have -- so this is nothing dramatic. So I'm sure that transition is not finished, and that's more their management issue than us. But as someone who works for them, about half of our business, one half, 500 million or so in Russia is with them. Obviously, it's significant. We have a lot of projects in the Volga [Euro], Western Siberia and Eastern Siberia. Think VCNG for example in Eastern Siberia where we perform a number of different tasks. Well construction, formation evaluation, will be the primary ones and some completion. So it simply means that Q3 will be a little bit better than it would normally be, given the market circumstances and Q2 was not as good. That's it.
James West - Barclays Capital: Okay. If I could just slip in one more for John and Dharmesh. The original targets for this year would have decreases DSOs and DSIs by I think about 10 days each. And we took a little step back in 1Q, took a step forward in 2Q. Sounds like you're suggesting at least second half we should see that all play out, any change to that guidance?
Dharmesh Mehta: I think DSO is the same. We're not changing the guidance in DSO. DSI, I think we will do better than what we guided by a couple of days depending upon our Q4 goals.
John Briscoe: Yeah. I agree with that, I think that's where we have the opportunities. We've really made some significant progress in all areas of capital efficiency but inventory really turned a good corner for us in the second quarter. And that was a result of a lot of hard work that's been going on for months and quarters even, that we really have seen the positive contributions there.
Bernard Duroc-Danner: From a management perspective, we tend to view DSIs as the most important because they are least liquid.
James West - Barclays Capital: Right.
Bernard Duroc-Danner: The DSOs, you understand. So if we're going to have progress anywhere, we'll have progress across the board. But DSIs would be very high on the list. DSO isn't an issue if you have clients that have liquidity issues but that's not the case. But DSI is a major, major issue for us.
Dharmesh Mehta: Again, so really on the question, I think if you actually analyze our cash flow for the second quarter, our payables actually went down by $60 million to $70 million. So if you actually think about cash flow from operations, you could easily -- a day or two of collections and payables gets you to breakeven cash flow. We are now down to (inaudible) around days as opposed to anything else.
Bernard Duroc-Danner: And I would also add that bringing down payables, which is DPOs, which is not normally what you would hear, is also a calculated effort as clearly on the cost side. We said we are going to be on payroll. When we come back to payroll, clearly there is a vendor play. You are going to have a vendor play. Clearly there is some policy that you have to think about in terms of how predictable and (inaudible) on the quality of your DPO. In other words how quickly do you pay people. Quid pro quo, on the cost side. That's for you to think about.
Operator: (Operator Instructions) Our next question will come from the line of Angie Sedita with UBS.
Angie Sedita - UBS Securities: Bernard, good to hear on the potential two transactions and the asset sales in Q4. When you think through your asset sales versus where you were at the beginning of the year, are there any assets you've had to pull off the market due to lack of interest or just movement? And then when you start to think about 2014, any preliminary estimates as to where you could be on asset sales of next year, 2014?
Bernard Duroc-Danner: You know, Angie, I didn't really engage in any really serious asset on the market except for three different instances, of which one what we were working on did not work. But it's not so much -- it was just a one-on-one negotiation with particular company. The other two appear to be working. Let me remind you, that we've really got the ability to focus on this only as of the early days of March. Until the end of February we were 100% focused on doing everything we needed to do to complete all manners of accounting processes on around taxes that would have a clean restated case going back historically. To minimize the enormity of the effort then for the organization, both financial, accounting and operations, couldn't really go out there and engage with numbers that were going to change also further restatements on any auction and so forth and so on. It's not that we didn't want to, not that we knew -- didn't know what we had to do, it's just we couldn't do it. So, really only started in early March. True, you heard about it before, because the intent was there. We just couldn't get started until then. Since then we are double overtime on getting it done quickly. So again there were three different negotiations which to appear to be progressing and one did not. That particular type of asset that did not progress, the one negotiation, no, no, it's perfectly marketable. It’s just that the buyer for reasons of his own did not want to complete the agreement and that's -- of course that's always -- buyer many things in my life and the seller can always change your mind. That’s all it is, Angie.
Angie Sedita – UBS Securities: Any early thoughts on asset sales for 2014?
Bernard Duroc-Danner: We have four different product lines that are not very large in and of itself, which are being prepared to be put on the market. I would say perhaps they will be put on the market by Q4. I would say maybe three out of four. Think of product lines that would have somewhere between 200 million to 300 million of revenues. A good product line, just not what we should be running and they will be run parallel by auction. So I don’t know if it works, probably a successful resolution in Q2 of next year. There are also larger assets, but again you have to wait until I announce or not completion of transactions in Q4 this year.
Angie Sedita – UBS Securities: That's helpful. On an unrelated follow-up on artificial lift in both North America and international, the growth you're seeing, is that predominantly volume driven? Are you still seeing any signs of movement in pricing either here or abroad? And obviously you added capacity here in Q3 of last year. What is your utilization rates on that capacity and how is the expansion potential you have?
Bernard Duroc-Danner: That's a very good question. On North America lift, no we're not seeing pricing. However, because we have expanded substantially the entire supply chain to lift. And remember, on lift we do just about everything you possibly do in four forms of lift out of five and software is separate. So we have massive supply chain. So we expanded our supply chain throughout last year and we're still scaling up the utilization. My point being that you will see, we believe you will see margin improvements driving our North American lift out of absorption. Strong manufacturing absorption as we now are expanding for ramping up the facilities because we have the volume from the client side. So you have very, very good manufacturing absorption. That's what will drive North American margins on the lift side, not pricing particularly. Internationally we are getting good pricing, good contracts on lift. I don't know whether I could say that the pricing is rising internationally. I don't have those metrics, but maybe Dharmesh you do. I do not.
Dharmesh B. Mehta: So one comment on manufacturing Angie is, what was happening last year was not sustainable. All the plants were running at three shifts, seven days a week. They were bursting at the seams hence significant expansion. So what has happened today is I would say we have stabilization of those balancing across plants. And as capacity and volumes are required, we have the ability to ramp up production. On the margin side, our international margins are substantially better than our North American margins and that trend continues on a go-forward basis.
Angie Sedita – UBS Securities: And then just to clarify. So if you think through the new capacity that you added and the efficiency gains that you expect, is it fair to say you're running 60% to 75% of the capacity that you're now able to and you still have room to grow just on the volume side?
Dharmesh B. Mehta: I think that's a fair statement.
Bernard Duroc-Danner: That is fair.
Operator: Your next question comes from the line of Byron Pope with Tudor, Pickering, Holt.
Byron Pope - Tudor, Pickering, Holt: Just one question from me and it relates to the Middle East region. If I back out the legacy Iraq contracts, it looks like you all are still doing roughly mid-teens top line growth. And so what I am trying to think through is, as we move into 2014, it sounds like the Middle East outlook is fairly robust across the region. But is it fair to think about top line growth being sustainable in that mid-teens range for that region of the world?
Bernard Duroc-Danner: Again a very good question. So one of the answers that Dharmesh provided was very, very insightful. Which is the 80-20, 20-80 phenomenon. It's a better of way expressing the [lease] than what I said. Which is going back in years when margins in MENA were at the EBIT level between 22%, 25% as opposed to the non-existent, 80% of what we made was in essentially North Africa. And that basically disappeared, that was an enormous phenomenon, negative one aside from Iraq. But then there has been the rise of the business in Persian Gulf which normally wasn't terribly strong for us but became very, very strong. And what you're seeing, what you spotted, is this emerging Kuwait, Saudi, Abu Dhabi and Oman being the primary drivers. So, that's what you analyze and what you spot is exactly what I am describing. Marked by the terrible economics in North Africa and then of course the very poor management work, I am talking about contractual decisions not local management. Contractual decisions, (inaudible) management in Southern Iraq. And so just to make sure that what you have identified is absolutely correct and understand what you are looking at. Yes, the answer to your question is, yes, to your analysis and, yes, it is sustainable most definitely based on contractual commitments that we have today, and market position. Absolutely, yes. And that’s true in Kuwait, as it is in Saudi Arabia and Abu Dhabi, and Oman, yes. 2014.
Operator: Your next question will come from the line of Robin Shoemaker with Citi.
Robin Shoemaker - Citi Investment Research: Wanted to ask another question on artificial lift which seems to be one of your best businesses now, as it has been. But back in when you used to give us artificial lift, kind of revenues broken out, I think 2011 you were at about 2.2 billion in sales. And I have to believe it's like 3 billion sort of ballpark today. Is that roughly correct?
Bernard Duroc-Danner: So, first of all, Robin, it is not one of our best businesses. I love artificial, this is my first baby. And the best business we have is well construction in terms of margins and returns, so that you know. But having said this, it is within our core which makes it one of our very good businesses. I am probably offended, the few people who -- artificial lift, who are listening to this call, but just to correct it. Second in terms of revenues, in 2013 think 3 billion to 3.2 billion for artificial lift.
Robin Shoemaker - Citi Investment Research: Okay. And then, just in terms of -- we know how rod lift is being propelled by the North America oil shale plays and we talk a lot about that. But in terms of other technologies, PCP, gas lift, plunger, hydraulic, etcetera, is there anything happening there? In other words, is there any kind of like newer lift technologies that Weatherford has that are potentially strong growers, contributors to the growth of this product line.
Bernard Duroc-Danner: I'll let Dharmesh answer that question because he is anxious to do so.
Dharmesh Mehta: All right. So new technologies in lift fall into three broad buckets. First and by far the most nearest and dearest to my heart, is the entire production optimization platform, software sensors that help you optimize the entire production of an asset. It's a growing business. It's a fast growing business with good margins and good returns and it only helps you optimize artificial lift well. The second one that we're focusing or the second area we are focusing on, is unloading of those wells. So you have the liquid plays, but what is a very large well count that is really going to need some new technologies is the gas wells that were drilled over the last three to five years. As you've got liquid loading in them, there is no good natural way to unload the wells. So that's a second area of focus for us. And, third, what you obviously have in gas lift is a very strong deep water play. So you continue to get -- push level up in terms of both deep water applications for gas lifts. So those are the three broad areas. As far as PCP is concerned, there were very nice (inaudible) as heavy, as reservoirs are found, heavy oil reservoirs are found around the world, PCP becomes a natural extension on the growth. So PCP basically relies on the growth of heavy oil plays around the world.
Bernard Duroc-Danner: So the plus 10% roughly, it used to be 6%, it’s up to 8% to 10% of heavy oil reservoirs, over the life of the heavy oil reservoirs, gas produced, coal produced if you will with PCPs. The most efficient, the cheapest, the most reliable, et cetera. So, remember the heavy oil is typically not deep. The PCPs don't operate real well deep. And obviously beyond that you start using typically heat in variety of injection, steam and so forth and so on and heavy oil and PCPs play less there because the elastomer does not do well with heat. But has a big, big fire application with PCPs that Dharmesh described. 10% of the reservoir business doesn’t sound like much. And it used to be actually less than that, again 6% originally. Moved up to about 10% co-produced depending on the reservoir, but given the size of heavy oil reservoirs, actually it’s many, many years, if that helps.
Robin Shoemaker - Citi Investment Research: That's good explanation. Thanks a lot.
Bernard Duroc-Danner: I think we have to probably close down the call. We'll probably ask if there’s one last call just to be through, and then we'll close down the call, because we’re 9 minutes beyond our time. So, one last question if there is one and then we'll close down.
Operator: The final question will come from the line of Mike Urban with Deutsche Bank.
Michael Urban – Deutsche Bank: In Iraq, good to hear the folks there on profitability and returns and you did single out southern Iraq. Presumably northern Iraq and Kurdistan are markets -- northern Iraq and Kurdistan are markets where you do have good margins, good returns and are in the core and will continue to be.
Bernard Duroc-Danner: Yes and I should have made that clear if I did not. All my comments on Iraq was Southern Iraq. Kurdistan is an entirely different proposition. The operations there are scale wise smaller. But they have entirely different economics. Different type of contracts, different type of clients, just different and the prognosis is also favorable, entirely different, yes.
Michael Urban – Deutsche Bank: And as you look to redeploy the equipment and presumably people from Southern Iraq into other markets in the region, are we at a point in terms of market tightness where that equipment should be readily absorbed? And just more broadly I guess a question on that region as we reach that tipping point where there is really not a lot of excess capacity or equipment floating around and you're seeing some competition emerge for that equipment and for the work?
Bernard Duroc-Danner: The equipment that will come out of southern Iraq will find contracts and a home without too much difficulty. The only negative is that it takes time to demobilize, recondition and redeploy. Recondition is not a big capital proposition. It’s just labor that takes time. So it takes anywhere from three to nine months. That's the only issue. But the other -- but once you have deployed it, it typically doesn't move out of those countries, unless there are major, major, major swings in the market. Those countries are think again Kuwait, Saudi and so forth. Abu Dhabi and Oman as the primary ones have regular stability in the work they do. They've been on -- they are on an uptrend in terms of quantity work. It’s as much gas based as it is oil based. So the equipment tends to stay, just a transition. That’s the only issue.
Michael Urban – Deutsche Bank: So definitely a market for them, just we should be patient in terms of our expectations on when those are generating earnings elsewhere?
Bernard Duroc-Danner: I think you’ll start seeing good expansion in the Persian Gulf and yet low capital intensity in large measure because equipment is going in Southern Iraq today. Thank you. That should conclude our Q&A session and we'll conclude the call. Thank you very much for your time and attention.
Operator: Ladies and gentlemen, this does conclude today's conference. Thank you all for joining. And you may now disconnect.